Operator: Good morning, ladies and gentlemen. Welcome to Village Farms International’s Second Quarter 2020 Financial Results Conference Call. Yesterday, Village Farms issued a news release reporting its financial results for the second quarter ended June 30, 2020. That news release along with the company's financial statements are available on the company's website at villagefarms.com under the Investor's heading. Please note that today's call is being broadcast live over the Internet and will be archived for replay, both by telephone and via the Internet, beginning approximately one hour following completion of the call. Details of how to access the replays are available in yesterday's news release. Before we begin, let me remind you that forward-looking statements may be made today during or after the formal part of the conference call. Certain material assumptions were applied in providing these statements, many of which are beyond our control. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in forward-looking statements. A summary of these underlying assumptions, risks, and uncertainties is contained in a company's various securities filings with the SEC and the Canadian regulators, including its Form 10-K, MD&A for the year ended December 31st, 2019 and the 10-Q for the quarter ended June 30, 2020, which are available on Edgar. These forward-looking statements are made as of today's date and except as required by applicable securities law, we company undertake no obligation to publicly update or revise any such statements. I would now like to turn the call over to Michael DeGiglio, Chief Executive Officer of Village Farms International. Please go ahead, Mr. DeGiglio.
Michael DeGiglio: Thank you, Jack and thank you to everyone for joining us today. With me for today's call is Village Farms’ Chief Financial Officer, Stephen Ruffini. Today's call begin with a review of the highlights of the quarter, most notably the sixth consecutive quarter of profitability for Pure Sunfarms, as well as positive EBITDA in our Produce business. Steve will then review our financial results and I'll return briefly discuss why we remain so confident in the future of our company. And we then -- we'll open it up to Q&A. Before I begin, with respect to COVID-19, I am, again, pleased to report that all our Village Farms and Pure Sunfarms facilities in Canada and the U.S. have continued to operate uninterrupted, as they have since the start of the pandemic. We have experienced an extremely small number of COVID-19 illnesses at two of our four produce facilities in Texas only. However, appropriate protocols will follow and have been no material disruption to our operations. Our success to date in managing the challenges of the pandemic is a testament to our adherence, to the recommendations of health authorities at all levels of government, which are over and above the already high standards of hygiene practices and safety protocols already in place as a highly regulated fresh food producer. In fact, other than the slowing of the build-out of provincial retail cannabis infrastructure and its effect on industry sales, COVID-19 has had no material negative impact on our operation today. And at this time, we don't foresee any lasting impacts going forward. So, before I start my scripted remarks, I just want to say how important this most recent quarter was for us, and how pleased I am with the results. We proved clearly that Pure Sunfarms can lead the Canadian cannabis market, with the highest quality products at aggressive pricing and deliver profitability. It is clear evidence of the long-term durability of our business. Now onto the highlights for the quarter. Starting with Pure Sunfarms, of which I remind you, we own just under 59% as of the beginning of the second quarter. So, the second quarter continue to demonstrate the earnings capability of Pure Sunfarms, the direct result of transitioning existing low costs, large scale, technologically advanced growing operations to cannabis production. 30-plus years of experience in vertically integrated intensive agriculture, the best management team in the industry at Pure Sunfarms, a frugal approach to SG&A, a pragmatic well thought out approach to brand and product positioning and an overriding focus on cash flow generation and a clear understanding of what is required to compete in the Canadian market. In Q2, we generated our sixth consecutive quarter of positive net income and our seventh consecutive quarter of positive EBITDA. That's every quarter, since we started shipping cannabis at scale, which was back in Q4 of 2018. And we achieved this while transitioning from selling entirely into the wholesale market to now predominantly branded retail centers. All-in cost of production per gram for Q2 and I will once again, emphasize that this includes depreciation and also includes packaging logistics, it's all-in cost with CA$0.84 per gram. This brings Pure Sunfarms average all-in cost per gram for the last four quarters to CA$0.80. While we obviously pleased to continue to lead all Canadian public greenhouse and indoor producers in this important metric, most by a fairly wide margin, we are also confident that we can still bring this number down further as we continue to refine and enhance our operations and, especially as we bring our own extraction operations online, grow new strains and further hone our growing techniques. The ability to grow high quality cannabis at an industry leading cost is clearly a competitive advantage for Pure Sunfarms, providing significant pricing power, while still generating profitability. I want to mention here that we are currently evaluating if we're going to continue to provide cost of goods sold on a per gram basis going forward. It has never been to our advantage competitively to have this number in the public domain. We do not provide it for our produce business for this very reason. Having established ourselves as a low cost leader and with a proven track record, we are of the mind that gross margin, net income and EBITDA figures going forward to suffice as a measure of our operational performance. At the top line, retail branded sales for Q2 were slightly up on a dollar basis from the first quarter of this year. However, sales volume increased 89% from Q1. As we ramped up the introduction of a large format value products, which I will discuss more in a moment, is important to note that we still generated a 33% gross margin in Q2 even with our aggressive pricing strategy and the shift in sales mix to a high proportion of large format products. This is a very, very important takeaway in this quarter. And we also demonstrated with this aggressive pricing again, because we must compete with illicit trade. We can impact the market. We are seeing this momentum continue with a solid start to Q3. I will note that July was a record month for sales of Pure Sunfarms products by the Ontario, Alberta and British Columbia provincial boards to their retailers and through their own websites. Wholesale sales as expected would down sequentially from the outside levels of -- outsides levels in Q1, which included some large non-monetary sales to extract in which we exchange flower for distillate. We are seeing an uptick in sales activity to other licensed producers. We believe this to be a result of the continuing challenges that some of our other producers are having around growing quality cannabis at scale, and at a viable cost of production. We mentioned previously that one of our corporate goals is to attain 20% market share of the Canadian market, while providing 35% of the cannabis supply. And I'll note again that when comparing Pure Sunfarms' Q2 results of those of last year, the entirely of Q2 2019 sales were wholesale sales, no retail, prior to the receipt of our license to sell directly to provincial boards and enter the retail market. Recall that this was a wholesale market pricing was at its peak shortage of product at that time in the neighborhood of three times current wholesale spot price. That was just one year ago. That said in the current environment, we are seeing [technical difficulty] will pay for the right products and high quality products. So, withstanding any additional impact from the COVID pandemic that may run the boarder market, we expect that the second half of the year for Pure Sunfarms [technical difficulty] with a number of potential growth drivers 9:30. Those drivers being first legal cannabis market [technical difficulty] continues to grow at a run rate above [technical difficulty], more than [technical difficulty] times where it was just the [technical difficulty]. This will be increased supplemented by conversion of illicit market consumers, as price, quality, safety, product selection, and access to more retail stores in the legal market continues to improve. It's worth noting here that the OCS reported that in the fourth quarter of 2019, more than 80% of cannabis consumed in Ontario was still purchased in the illicit market. That's more than 80% just months ago. This is an excellent reference point for the size of the opportunity, especially for those who have a leading share in the legal market. We have made it for one of a -- we have made it from one of our clear priorities since launching retail to lead the conversion of traditional users into the legal market. We believe this is ultimately how the majority of traditional users want to purchase, provided they can find easy access to quality products at an attractive price point. Secondly, we are seeing momentum in a number of bricks and mortar retail stores across Canada, especially in Ontario. Obviously, this will benefit many suppliers, but clearly Pure Sunfarms stands to benefit disproportionately given the strength of its market share again, especially in Ontario. Third, we continue to launch new products in the dried flower category, which still by far is the largest market and probably for the foreseeable future. And then rounding added SKUs in terms of package size and adding two new strains, two exciting new strains, including high THC strains this quarter. We've entered the market with aggressive pricing, and our large format value products have consistently ranked among the best-selling dried cannabis products with the Ontario Cannabis Store since they are launched at the end of Q1. Fourth, we expect Pure Sunfarms will continue to add new provinces. It began shipping to Saskatchewan at the end of Q2 and Manitoba last month, as well. These two provinces added access to an additional 10% of the Canadian market. Pure Sunfarms products are now available in five of the six largest provinces, which make up 70% of Canada's population. The majority of the remaining 30% is Quebec. So, clearly that market is a high priority for us moving forward. Finally, and most importantly Pure Sunfarms will start shipping its first bottled oil and other 2.0 products for retail sales beginning with its three largest markets eminently. And we will continue with our aggressive pricing strategy, while continue to elevate quality and offer products that consumers want. It is a proven winning proposition. It is also a necessity to capture share from illicit market. This is how to compete in the Canadian marketplace. Importantly Pure Sunfarms to enter these new categories on the back of its continued leading market share in dried flower, our strategy was to first establish a commanding position in dried flower, which still dominates the market as I said, before entering new categories. I am pleased to report that for Q2 Pure Sunfarms was once again the top selling dried flower brand by volume with the Ontario Cannabis Store, just shy of 14%. That marks three consecutive quarters in which Pure Sunfarms has been the top selling brand every quarter since Pure Sunfarms entered the retail brand in market in late September last year. And I'm smiling as I say that because it's an incredible accomplishment by Pure Sunfarms folks. In fact, if we look at the data all the way back to October 1 of last year through the end of July of this year, a 10-month period, Pure Sunfarms still ranks number one. I just want to pause on this for a moment. Since October of last year, Ontarians have purchased more Pure Sunfarms dried flower product than any other brand. I would like, again, to congratulate the team at Pure Sunfarms. It's a tremendous achievement. So, amid a rapidly evolving market with a continuous stream of new product introductions, Pure Sunfarms has consistently had products in the number one, number two, and number three spots for dried flower, often having multiple products among the five best selling products. It's worth noting that Pure Sunfarms has achieved this with no major promotional expenditures, no celebrity partnerships or endorsements, no media hype, just great brand positioning executed by second to none management team. It's one of the reasons SG&A remains low. As I have discussed times, this is direct result of Pure Sunfarms strategy, high quality products that consumers want at an attractive price. And I will add that we weren't all surprised when a recent survey found that more Canadians believe the best cannabis is grown in British Columbia than any other place in Canada. And in fact is well renowned. It isn't full flow. As growers we know that BC is hands down the best location to grow cannabis in Canada. And that matters to the quality of the product. Selecting the best growing region is critically important, like Bordeaux in France and Napa in California geographical location for growing matters. It's not about the location you have. It's about having the right location. As I have discussed on past calls we don't get the same level of sales detail for the other provinces in which we sell, but based on the data we do have, we continue to see strong brand and product performance in Alberta and BC, which we've just recently started shipping to both provinces. The biggest challenge right now for Pure Sunfarms as it is for all suppliers is that there are simply too many producers in the market for the size of the legal market, upwards of 50 in some provinces. And there appears to be an interest on the part of the provincial boards at least in the short term to spread their budgets around. That said, the market is steadily growing and the supplier landscape will shake out. It has to. There are too many producers that simply don't have a durable business model, too many producers that are not able to grow quality or grow with a viable cost. And too many producers are consuming their balance sheets quarter after quarter, year after year. In the interim, we have temporary scale back production at Delta 3 to better align our output with sales for the next term. With 16 grow rooms in Delta 3, we have the flexibility to easily and quickly adjust product volumes, as well as products we are growing. We are focused on cash flow generation and therefore, how much we can sell, not how much we can grow. Recall that Pure Sunfarms' goal is to capture at least 20% of the dried flower market in Canada over the long-term. A level was achieved that we actually achieved in the month of April in Ontario. And we remain confident that as the Canadian industry moves beyond its startup phase and operates as a mature efficient market, this go as well within reach. Our industry leading greenhouse cultivation costs will continue to be a significant advantage in support of further market share growth in illegal market and the critical importance capturing meaningful share from the illicit market. Competing directly with the illicit market is what will truly drive sales. It is the key near-term strategy for Pure Sunfarms and the tactics to achieve this are in place working and validating. Again, this positions us very well for the launch of our bottled oil and 2.0 products in the very near term. So, quickly about our Produce business. Turning -- Village Farms has had a strong second quarter, delivering nearly a $6 million year-over-year turnaround adjusted EBITDA to generate positive $1.2 million EBITDA. The increase was a result of a number of factors. First, we continue to make steady progress on our strategy to transition our own growing capacity that we displaced with cannabis two partner growers in both Mexico and Canada. Second, we continue to focus on cost management. And third, we benefited from higher pricing due to the elevated consumer demand resulting for more consumers now eating at home. The vast majority of our Prod business is through grocery stores and not food service. Pricing has remained strong in Q3. This is especially encouraging giving that the organization that underlines our produce business is the engine that is driving our next phase opportunities as we continue to position Village Farms for the evolution of cannabis and CBD, both domestically and internationally. I want to note here that since entering the cannabis space back in June of 2017, Village Farms is not hired one additional person to pursue these opportunities. We have leveraged the breadth and depth of capacity of our existing organization with our produce business, paying the overhead to pursue this outside potential. It really underscores who Village Farms is at its core, a vertically integrated company that continues to produce high return agricultural based products. So, going on quickly to the U.S. CBD and cannabis. In the U.S. we continually closely watch and are active in the regulatory developments around CBD. We are somewhat encouraged by the FDA's recent comments about providing a clearer regulatory framework around the use of CBD in products, as well as the prospects for federal legalized high THC cannabis in the USA. One of the largest greenhouse footprints in North America, we can move instantly on either of these markets and already having a headstart on a conversion of our Permian basin facility. We intend to be a major force in the U.S. market. We recognize the FDA has other priorities at the moment. However, we also believe the agency recognizes the importance of providing a clear path forward that will allow companies large and small to make prudent well informed risk mitigation to enable the industry to flourish and prosper to its full potential. Let me be clear. We are currently in a holding pattern, but we are fully committed to the CBD market. We have just seen too many companies struggle with vague regulations in border industry that is significantly hamstrung by the resulting risk. We are simply being prudent. We don't need to be in the market now, and we won't put our shareholders at risk. On an international side, Pure Sunfarms is clearly and consistently executing on plan in Canada. And we believe is well-positioned for growth for years to come, as one of just a few large industry suppliers that will dominate the market. This has enabled us as a management team at Village Farms to turn our attention to existing -- to extending our international reach, always with a focus on prudent capital allocation for well research opportunities with outside potential returns, both short and long-term. We took our first step in July with an acquisition of just under 16% of the Netherlands based business called DutchCanGrow. DutchCanGrow is a consortium of partners with various expertise that is applied for license become one of now more than 10 licensed suppliers for somewhere around 80 cannabis shops known there as coffee shops in the 10 cities on the experimental government program. These 10 cities will comprise the first legal recreational cannabis market in Europe. The intention of the program being to improve the safety of cannabis products in the Netherlands and curbed the criminal involvement resulting from the current illegal climate of growing and supplying products to the Netherlands. There are many companies vying for just a few licensed, but we are optimistic about our prospects, based not only on the outstanding group of partners at DutchCanGrow, but the specific cannabis experience in Canada that we bring to the table. While the long-term possibility that the program could be nationalized to more than 500 coffee shops, this opportunity is meaningful in and of itself, but we also viewed as a potential springboard to other legal cannabis opportunities, especially in the European markets. And obviously, we realize these are long-term decisions, and we're excited about that. Some of these markets may take years to develop, but it's important that we stick a flag in the ground now, and that's what we're doing. And then also we recently acquired 6.6% of Australia-based Altum International, which is one of Asia-Pacific leading young, new CBD platforms with high THC cannabis opportunities in Australia and New Zealand, with the option to increase their ownership. Altum is pursuing the Asia-Pacific market via three channels, proprietary consumer brands, commercial CBD ingredients with foods, beverages, cosmetics, and other consumer packaged goods and educational experimental retail stores for both Altum's own and partner products. They're already off to a great start in Hong Kong, which has one of the most progressive regulatory environments for CBD and are building out their presence in other large target markets. We are actively exploring other international opportunities that will leverage our Canadian success to date in Canada. And I do want to take this opportunity to remind you that our international -- that our Village from International Farm 2.6 million square foot Delta 1 facility adjacent to the Pure Sunfarms greenhouse facilities available to envision to CBD or high THC cannabis for export should Pure Sunfarms choose not to exercise its option on that facility prior to the exploration in September, 2021. I'd like to turn the call over to Steve and he'll take us through the results -- financial results and summary. Steve?
Stephen Ruffini: Thanks Mike. I will review some headline figures from our Q2 results by business line. First, produce while not the business line that most want to talk about is our historical business and base business as we move into a new agricultural based CPG business lines. Our top line Q2 produce sales increased year-on-year by 15% in U.S. dollars to $47.6 million from $1.3 million with cost of goods sold relatively flat year-on-year, resulting in an improvement in our gross margin of $6.5 million from 2019, providing a gross margin percentage of 7.4% in the second quarter of 2020 versus a negative gross margin in the second quarter of 2019 of 7.2%. Historically QQ has been a tough quarter for our produce business due to the dynamics of the North American tomato supply business as all U.S., Canadian, Mexican greenhouse producers are producing in this three-month period. Basic economics presides higher supply in a relatively flat year round demand business results in historical challenging market pricing in the spring and early summer months, year-in and year-out. But historical dynamics like many things in 2020 have been turned on their head, in our case to the positive. We are experiencing increased demand consumption from our retail customers as Mike mentioned our big box grocery store -- national grocery store chains, as most people are staying at home and eating at home, while tomato supply around the world has its own issue with its own virus, which is resulting in lower tomato supplies. So, basic economic 101 [ph] is occurring increased pricing. Year-on-year, our Q2 2020 average tomato pricing increased 39% from our average price in 2019. The increase in pricing was even more prevalent in our large commodity tomatoes, beefsteak and TOV as we have seen an increase in consumption in larger tomatoes since the outbreak of coronavirus. A reversal of the consumer trend over the last few years to smaller, higher priced, more flavorable tomatoes. We're forecasting a continuation of strong year-on-year pricing resulting in positive EBITDA and cash flow from our produce business, which is bearing all the costs -- public company costs of Village Farms for the remainder of 2020. Now to the headline cannabis business. For the new investors our cannabis business today -- for the new investors today our cannabis business is solely through our Canadian joint venture Pure Sunfarms. While Village Farms own 58.7% of Pure Sunfarms, we cannot consolidate it as we do not control it, as such it's Pure Sunfarms financial results only show up in the Village Farms statutory results as a one line item in our income statement and a one line item on our balance sheet. We do show the full Pure Sunfarms balance sheet and income statement for the quarter and the six months ended June 30 in U.S. dollars in our financial footnotes, which are available in our 10-Q, which was filed last night, which was published as of this morning. Pure Sunfarms saw a substantial decrease in sales margin and EBITDA in Q2 2020 when compared to Q2 2019. The market conditions -- the Canadian market and demand and supply aspects have clearly changed materially in the last 12 months. And not due to coronavirus as some have blamed. As such comparing our Q2 2019 and Q2 2020 results is not indicative of the progress Pure Sunfarms has made. In Q2 2019, the marketplace was 100% wholesale. Everything Pure Sunfarms producing essentially was being purchased by other LPs in anticipation of cannabis 2.0, as well as the expectations by the Canadian marketplace of continued and a quick rollout of provincials retail outlets, which did not occur. Jumping to a year later, we have a total different marketplace dynamics. We clearly have too much supply and as Mike mentioned too many suppliers. Hence, the average retail channel price in Q2 2020 is less than half of the Q2 2019 wholesale price that we received, resulting in a material change when you look at our results on a year-on-year basis. A better comparison is comparing Pure Sunfarms sales in Q2 to Q1 of 2020, but that's who did experience the substance of change due to the -- both of the compression of demand as a result of store closures and stay-at-home orders in Canada, but primarily driven by the demand for the large format product versus the small format product, which historically had, or at least historically for six months had been the driver of our business. As Mike mentioned, quarter-on-quarter, the provincial retail sales volume increased 89%. This was driven by the large format, lower priced SKUs, which were predominant product sold in Q2 was with 80% of our sales in Q2 provincial or large format. But as a result shows, still a very profitable business for us which is reflected in our gross margin. As Mike has mentioned with respect to our cost per gram metric, which is not an industry standard by any form of the imagination, we did provide that this quarter. But as Mike mentioned, we probably will stop providing that, as it's not a great comparison when one compares Q2 2019 to 2018, the 2020 cost of goods per gram was CA$0.84 versus last year $0.65 per gram, last year was a 100% wholesale. So, it doesn't involve any packaging or logistics costs in 2020 with predominantly most of our volume going to retail, which will probably be the case from now going forward. Our cost of goods sold will reflect packaging logistics, as well as the increased post-harvest labor involved with handling, intriguing the post-harvest flower and trim, which will become more prevalent as we enter cannabis 2.0 in the third quarter. Just one other quick note on our balance sheet and cash flow, which tend to get overlooked by the headline cannabis business. Our -- for the six months ended June 30, 2020 Village Farms had positive cash flow from operations of $2 million versus a $9 million cash outflow for the six months ended 2019, an impressive $11 million turnaround. Village Farms is sustaining itself from its produce business. We're not diluting our shareholders or raising cash just for the sake of supporting ourselves. We were able to fund the two acquisitions and were not two investments as Mike mentioned in Holland and Asia from our produce cash flow. And we look forward to a continued strong final six months of the year. With that, I'll turn it back over to Mike.
Michael DeGiglio: Thank you, Steve. So, we are now at a place where we really see the future of Village Farms coming into focus. We are realizing our vision to become a highly profitable plant based consumer packaged goods company, leveraging our decades of experience in large scale, low cost intensive agriculture and our vast organizational capabilities as a vertically integrated supplier to the North American major groceries and big box retailers for emerging for new and high value opportunities. At Pure Sunfarms our plan does not change from day one, lead the industry as a low cost producer of quality product, establish and grow a leading market share in dried cannabis, leverage that brand performance for other large product categories, and do it with consistent profitability. We look forward to watching Pure Sunfarms build on success with the eminent launch of its cannabis. 2.0 products and the Canadian industry still continues to grow. We are at the leading edge of the global cannabis frontier, and this is massive opportunity and we are proud to already be one of the most successful companies in the world in this new industry, but also excited about our many future opportunities at home and abroad in CBD and in cannabis. And that will drive shareholder value in the near term, mid term and longer term. I just want to reiterate my opening comments about how pleased I am with the Q2 results. They clearly show the earnings power of Pure Sunfarms and how this part of our business will continue to deliver value for our shareholders. We push the envelope on pricing in the second quarter to demonstrate that we can compete with the illicit trade day-in and day-out and be profitable. That is a huge demonstration. And with that, we will take any questions that you may have.
Operator: Certainly. [Operator Instructions] Aaron Grey with Alliance Global Partners. Your line is open.
Aaron Grey: Hi. Good morning and thanks for the questions. I guess, first one for me -- and also congrats on another quarter of profitability for Pure Sunfarms. But first one for me, as we look at the top line on the retail side specifically, you mentioned, still doing well in Ontario with 14% market share. Still in the early days of Alberta and BC, but specifically with those two provinces, you mentioned, a lot of competition and competitors there. So, just wondering if you give some color in terms of how much that's kind of impacted the repurchase rates there. And if it's kind of going to take some of the shake out before you see more meaningful contribution from those two provinces, or just any color there in terms of how we should expect kind of ramp up in those two provinces come? Thanks.
Michael DeGiglio: Well, you can't forget that the second quarter was an interesting quarter because of the pandemic. What happened towards the end of the first quarter of February and clearly March, there was a huge purchase at the provincial levels. A lot of pantry hoarding was going on and that's had an impact sort of at the beginning of the second quarter, especially April. So, that -- so when we look at the second quarter, there were a lot of things that are -- that were impacted due to the coronavirus and it started to smooth out halfway through the second quarter. But remember that we didn't really -- in March is when we launched in BC without a large format. And we actually launched in the OCS, on 4/20 in April, so tied to that date and then Alberta followed. So, a lot of this -- a lot of impact really started as far as sales increases towards the -- at the middle to the end of the second quarter. And now going forward, this will be the first full quarter that Alberta and Saskatchewan are on a large format is in all those provinces. And I think we'll start -- we'll demonstrate that traction in the third quarter going forward.
Aaron Grey: Okay. Great. Thanks. That's super helpful. And then, if I could just ask one more on the gross margin side, certainly makes sense how we saw some pressure sequentially as you rolled out your value formats. A couple of things here. As we think about more value offerings coming online and then also potentially 2.0 products. And then also it seems like you have some opportunity on the cost per gram side. How to kind of think about the puts and takes in terms of the gross margin evolution over the next couple quarters? Thanks.
Michael DeGiglio: Well, I think this would be the lowest -- I think, the second quarter -- look, we pushed the envelope in the second quarter and because at the end of the day, we've always said that for us, it's about taking -- cannibalizing the illicit trade. That is the market, as we see it. And whether it's dried flower or vapes, which will be soon to be launching, we have to go through -- the cards we're dealt with in Canada. And the Canadian market is very different than any other market. All these international markets will have uniqueness to them. So, Canada is very different from the U.S. The cards we're dealt with in Canada are that one -- as I've said many times before we have to pay a huge amount of taxes, our taxes for our licenses, which is based on revenues will slowly in the next six months, be close to $0.5 million a month. We pay $1 gram excise tax. There has to be a strong margin for the provincial boards to make. And then we have to make our margins and be profitable. And the second quarter demonstrated that if we're going to take the market share from the illicit trade, which is clearly, as I mentioned, 80%, 90% of the existing market, we have to compete with that. In the U.S. that's not the case. Less and less -- the illicit trade is less and less of a issue in the U.S. market, but it's clearly there in Canada. So, regardless of -- so, whatever the gross margin came out and we were very pleased that it came out north of 30%, which I think will be the very low end of the scale going forward. We demonstrated that we can survive, be profitable, be cash flow positive and take market share. I mean, we were able -- if the market move 5% or 10% from the first to second quarter, we were able to increase our sales 90%, that really shows the power of being aggressive in pricing. And I'm not even sure aggressive is the right term. It's a requirement to compete with the illicit trade. So, as we introduce more single strains, that have drivers like a high THC that commands a greater price, as we deliver our 2.0 products that have higher gross margins, those numbers should be increasing. So, I think this quarter, as I said, was a huge quarter demonstrate that we can be viable at these prices and be profitable. So, then I think we'll show that going forward.
Aaron Grey: Thanks for that color. That's helpful. And I'll jump back in the queue.
Operator: Andrew Partheniou with Stifel -- GMP. Your line is okay.
Andrew Partheniou: Thanks for taking my questions. I wanted to touch on a little bit of the dynamic of the provincial boards, their purchasing and the stock levels. I mean, you guys are obviously doing exceptionally well with sell through with the stat that you mentioned, PSF being the best brand in Ontario. But anecdotally, I've seen at times that your product is out of stock. Could you maybe touch a little bit on that, provide a little bit of extra color with regards to inventory levels? I'm wondering if the provinces kind of increase the repurchasing of our product, given it's so popular that your sales could -- especially in this quarter, have been significantly higher.
Stephen Ruffini: Yeah. I mean, that's -- this is Steve. Thanks for the question, Andrew. It's a continuing issue. Obviously, we see that, Pure Sunfarms see that, to some extent, these provincial buyers are say not similar behavior to what we deal with on produce business, a commercially driven P&L manager --buyer who's driven by P&L. These provincial buyers -- Ontario, as an example, have I think, upwards of over 50 suppliers to flower, which is an incredible number of vendors. So to some extent and Pure Sunfarms has been told this that the provincial buyer has a certain dollar amount that he can buy. And they have been told in certain instances when something's out of stock, that essentially it can't be reordered at this time because essentially the money for purchases has been spent. So, to a large extent, obviously, an out of stock is a loss sales. That's how we look at it, how Pure Sunfarms looks at it on. To some extent, as Mike has mentioned, the Canadian system is a Canadian system and is one of the headwinds that all the LPs have to deal with. You're dealing with provincial buyers, not commercial buyers who are necessarily looking at -- in the case of a produce buyer, dollars per square foot. That's just not how these provincial buyers are currently operating. That said, they have changed their behavior. Pure Sunfarms seeing more frequent purchases from what occurred in early 2020 and late 2019, which was large purchases. And we wouldn't see any reorders for a month. Now, we're seeing in places like Ontario weekly orders, which is helpful to Pure Sunfarms and allows it to restock those SKUs that are moving. And hopefully, avoid over shipping SKUs that don't. This is a consumer branded goods business at the end of the day. So, new SKUs, as the cases with large format can negatively impact existing sales of small format, that did occur.
Michael DeGiglio: Yeah. And if I could add to that. I mean, we have to understand and be patient that this is a whole new massive industry, and they're feeling their way to. And I think they're doing a great job in just early days here. So, when you see SKUs that are selling well, that are out of stock, it's just part of building a new base business for them as well. So.
Andrew Partheniou: Thanks for the additional color. If I could ask one more. Just on the expansion of your geographic distribution and adding new provinces, you touched a little bit around that on your prepared remarks. But maybe if you could just give a little bit more color on what exactly are you working on to penetrate additional markets. What's really the obstacles that you guys kind of face to turn on that new contract and win that shelf space?
Michael DeGiglio: Well, I think, the information we're receiving for the provincial -- from the provincial markets that we are in is that we're in a position of -- one, two and three in terms of quantity being sold. So, we're very pleased with that. And as I mentioned in my remarks, the final -- Quebec is really the final major market we want to penetrate, which then will represent 70% to 80% -- or more than 80% of the Canadian population. And that's the only one left. But I think Pure Sunfarms has been very prudent and making sure they can deliver it to each provinces, fulfill the orders, understand what their needs are before they take on another one, because as we know -- you always want to deliver. And so, I think they've done that. Although, prudently, they've moved very quickly and Quebec is on the radar screen, for sure. And I think, God willing that will happen pretty, pretty soon. And then, we'll be where we want to be more or less. There are some discussions going on with the Maritime as well, but Quebec is the next big move for us.
Andrew Partheniou: Thanks for taking my questions.
Operator: Adam Buckham with Scotiabank. Your line is open.
Adam Buckham: Good morning, Mike and Steve. Thanks for taking my question.
Michael DeGiglio: Good morning, Adam.
Adam Buckham: I wanted to dig a little deeper on pricing the start. So, it sounds like from your comment, you expect to see overall pricing stabilized to an extent moving forward at PSF. So, I guess, my question is with where PSF now and the product portfolio is now, do you believe that there is any need in the near term for price adjustments to maintain our gross share? Or do you see the setup -- the current setup it’s hard to match by the market?
Michael DeGiglio: Yeah. I think, yes, to both. I think, we don't spend a lot of time really looking at the competition. We just are driving our business model forward. And again, we see competing with the illicit trade and understanding that's the industry, that's the market that we have to understand and compete against. Now, if others can compete at that level, that's their issue, not ours, but that's where we're going. And this -- as I said, this was a demonstration that we can compete day-in and day-out against the illicit trade. While we have all these other cards we have to deal with in terms of the dollar, excise tax and the ability -- we don't have any ability to use the tools that the illicit trade may in terms of biologicals or the pesticides and so on. And that's almost like growing. As I've mentioned in the past with one arm and leg tied behind your back. But those are the cards we're dealt with. That is the market in Canada and we have to learn to compete. And I think they're doing it very well. So, with pricing, yeah, they, they kind of went to the mat here and that's why I'm really excited about it, because going to the mat and generating north of 30%, which -- 30% to 50% for a traditional mature CPG business. I mean, that's probably a sweet spot and this is sort of a low end of that. But I don't see that we have to deliver pricing any lower to compete. We've demonstrated that, the 90% increase in volume sold supported that we're at that sweet spot. So, I think now introductions -- the introductions of single strains and H2O products Health Canada, the vape and everything else we're delivering, we'll be at higher margins and our average margin will come up. So, I think, this is sort of the bottom of that range. And not to be redundant, but it shows where we compete, and it gives us a lot of confidence in the sustainability and durability of our business model.
Adam Buckham: So, it was a great comment. Thanks. So, secondly, I guess, at a high level, can you provide some color on just how the cost profile is different between your wholesale sales, the large format and your other SKUs?
Michael DeGiglio: Probably not too much. That would probably get -- what I want to give too much out of the competition, but our large format is high quality and it's very good product. So, it's just -- we found a way we can do it. I think not saying maybe we were the first introduced it, but clearly we've been the most successful in that introduction and is resonating very well with consumers. And that's sort of our -- a little bit of our IP, so to speak. And -- but we're going -- we're looking at producing. We're doing a lot of things in our new processing center, hand drying and coming up with the creation of products that others may deem more of a craft side. And so, we have a full array to meet all consumer needs going forward. But the bulk -- I think the bulk of the market still remains flower and the value added pack is still going to rule going forward.
Adam Buckham: Okay. That's great. I'll just squeeze one last one. More on the produce side. So, I think, Steve, made -- might have mentioned the spine demand dynamics in the tomato market and how it was a tailwind for pricing. Can you maybe provide some detail on what you're seeing in the market currently? And then when you might expect supply to catch up to where demand is?
Michael DeGiglio: Yeah. Well, like, I've always said with the produce challenges -- the produce challenges are caused by the master agreement that changed the dynamics. And it would be similar that if the Canadian government opens up importation of cannabis from South America, as an example, it's going to change the dynamic. And that's what happened in the produce industry. We compete with Mexico. And I've said -- and we grow in Mexico. It came to the point where we can't beat them, join them, because it's a labor intensive industry and we're paying 20 bucks an hour all-in whether it's Canadian or U.S. assets. And that includes, of course, benefits and all. And Mexico is still more or less than $6 per day for agriculture way. So, I think with the pandemic what's happened is obviously people aren't eating out. As I said in my remarks, 90%-plus of our sales are to retail food chains, not food service, which has taken a huge hit due to nobody eating out. So, we were fortunate there. And people are eating at home more, it's driving greater fresh food sales. And I think, we're actually seeing a much more of a stronger interest in U.S. product as well with some of our customers. So, I think that's driving it. And I think it's -- we feel it's pretty sustainable. I think there's going to be a lot of changes in the behavior, how people operate, people are getting comfortable eating at home. So, we feel good about that. And we continue to work on our relationships. Part of the result was replacing volume that we lost and conversion of our greenhouses. And so, I think, we'll continue on. I think -- I hope that answered your question.
Adam Buckham: Yeah. No. it certainly does. Thanks. That's it for me.
Operator: Eric Des Lauriers with Craig-Hallum. Your line is open.
Eric Des Lauriers: Okay. Great. Thanks for taking my questions guys. So, I want to focus on the wholesale market. It's good to hear at least on the retail side that you think this price level is sort of the bottom here. You mentioned -- you've seen a bit of a revival in the wholesale market, would love to just hear your commentary on? And if you think this is sustainable or -- should we still think about these as a sort of opportunistic lumpy sales?
Michael DeGiglio: Yeah. It's a good question. I mean, it's hard to predict longer term. We -- if we looked a year ago where we were in wholesale, not just in terms of volume in the second quarter of last year, but in pricing, that's dropped off a third of what it was. So, that was probably non-predictable a year ago. So, to sit here now and say what it would look like long-term, it's unknown. I mean, part about wholesale conduit is extractors. We have good relationships with those folks and hopefully that continues on. But I think at some point other -- we're working with other LPs and let's face it in our produce business. We've worked with competitors for years. We've have good relationships with competitors. We supply competitors. And to a degree I think that we'll get some traction going forward. So, I don't necessarily see it growing exponentially, but I think it's going to come back from where it was in the fourth quarter. That was pretty non-existent.
Eric Des Lauriers: Okay. That's good color. And then, last one from me. I just wanted to touch on the 2.0 products. We've seen kind of -- some hit and miss results in the market. They seem to be doing better than oils or soft gels, for example. Just kind of wondering what your guys' takeaway has been, see competitors in the market. And then if you can -- what kinds of product mix do you think is reasonable going forward? Should we think of it sort of as like 75% flower for you guys and 25% 2.0 products, or is that kind of off the market? Just any color would be helpful.
Michael DeGiglio: Yeah. I mean, flower rules. And if you look even in the U.S. I mean, the major markets, California, Colorado, I mean, flower still rules. And I think it will for a long, long time. I think, the management team, the leadership, Mandesh, he has a real clear understanding of seeing what's working with others before we jump in. And so, we've taken a very prudent approach to what products we're going to launch them 2.0 and vapes as an example, yes, is one. And see how that goes. And as I said in my remarks, once we enter a particular segment, we want to work at as best we can, make sure our price point is right. We can make money doing it and try to take a commanding lead. And I think, that's on horizon and that in a way, own probably not much more in the foreseeable short term, so we make sure we can deliver those benefits and excel there. But I think when you look at the other markets, confectionary and beverage, they're still very small markets. And they still have to be proven out, see what the consumer preferences are going forward. So, we're going to be prudent before we jump into those. But as I said, flower -- and we still have a ways to go and trying to dominate and build our market share there. And we're very focused on that priority.
Operator: Rahul Sarugaser with Raymond James. Your line is open.
Rahul Sarugaser: Morning, Mike and Steve. Thanks so much for taking my questions and congrats again on your EBITDA streak it's definitely commended. So, I guess, my first question is a bit more of a macro question. We're sort of -- we're seeing the market as a whole growing and in terms of dollar amount. But that said, of course, now we're also seeing incumbents and including yourselves, with relatively flat revenue quarter-to-quarter. So, are you able to comment on this dynamic? What do you think is driving it? And do you think that it's something that will adjust over time as the market matures?
Michael DeGiglio: I definitely think it will. I mean, the second quarter was a crazy quarter. I mean, it's almost like we're forgetting the impact of the pandemic and in consumer's minds, and March and April, that was just 60 days ago, 90 days ago. So, if you remember when we reported and the other LPs reported, it was a very unstable time, was hard to predict. We weren't sure if the infrastructure rollouts by the provinces like on Ontario would slow. People were staying at home. So, it's really hard to look at what's happening there. So, I think when -- we're already into the third quarter, and I could tell you in the third quarter, we're seeing you much more stabilization, and we're seeing growth. So, I don't think the second quarter is probably indicative of where the market is going. And that's why I'm really pleased with it, because we went through that and we got through it in a very strong way. And I think, we've actually said that we see a growth in the third and fourth quarter continuing, not just because of the launch of our new products and new strains, but increasing market share and further penetrating and cannibalizing illicit trade.
Rahul Sarugaser: Yeah. Great.
Michael DeGiglio: On a macro level I think I feel very optimistic.
Rahul Sarugaser: Thanks. That's really helpful. And then just one follow-up question. You got to fight Quebec as the next vanguard, province to penetrate, we recognize that Hexo has a "preferred supplier" position in the market whether artificial or not. How do you plan on dealing with that particular dynamic in Quebec as you penetrate?
Michael DeGiglio: Well, that's classified. I mean, let's just see what the results are going forward, Rahul.
Rahul Sarugaser: Okay. Great. And then just very quickly, I'll just squeeze in a quick question about international. So, obviously, there is dust and grow and then the deal in Asia, how do you see your broader international strategy rolling out and committing capital to this sort of outside long-term opportunity?
Michael DeGiglio: Yeah. Well, that's -- the key is long-term. I mean, you could break these segments out. People can say, well, the CBD market, we thought we would have a lot great traction today from December 18 upon, decriminalization, but, of course monthly rents the FDA thrown in there and said, we're taking a prudent approach. But we're very committed. And we see that as a huge -- very exciting market that we definitely want to be a major force in whether we build it, buy it or work with partners in that market. But we want to stay a little bit on the sidelines. So, there's clarity from the FDA. We just think it's prudent right now. So, that said, there's -- we've always said if, and when, on legalization of high THC decriminalization of cannabis in the U.S. obviously many folks are talking about it, even the tax opportunities for the government, the local municipalities are resonating, elections coming up. So it's anybody's guess what happens. But the opportunity is massive and comparing it to Canada, it's just so massive. And we're ready to go. I mean, I would be honest with you that every day that I -- I don't really focus too much on the Canadian market, because Pure Sunfarms is doing their job and penetrating and doing well. But I look at the U.S. opportunities, and I wonder now how long before anyone not in that marketplace will not have the same opportunities as those who can compete in the U.S. market where we can today. However, that being said, having such a large footprint and what we consider the best growing region, or one of the best growing regions, Texas, where we are in Southwest Texas is probably the equivalent of what BC is to Canada in terms of growing conditions. So, we have that footprint that. We can pivot instantly. And maybe we'll go that along. Maybe we'll do it in partnership with others down the road, but that's a massive opportunity. But in the meantime, which is not going to rest on our law. So, we're looking at opportunities internationally -- and I'll tell you about the DutchCanGrow, so exciting about that is it just shows a movement of a specific European nation that has been very, very myopic on legalization of cannabis for decades, starting to show the trends of loosening up on the old mentality that cannabis cannot be legalized. And that's exciting for us, because that's one of many countries in the EU, and that's why we're excited to be there. But these opportunities also very long term. We're not looking at adding a positive cash flow in the short term. But -- so the decisions we make today are a combination of what we think can be a short term benefit, medium term and long term. We want to be at all three levels, because the opportunity is massive over the next decade. And we're pursuing that.
Rahul Sarugaser: Great. Thanks very much for taking my questions. That’s all for me today.
Michael DeGiglio: Thank you.
Operator: Doug Cooper with Beacon Securities. Your line is open.
Doug Cooper: Hi. Good morning guys. Mike, just on the value pack you said it was 80%. I think, Steve, you said it was 80% of revenue in the quarter. How big do you think the category can be in total percentage of the market?
Michael DeGiglio: Large format?
Doug Cooper: Yeah.
Michael DeGiglio: All right. I think under the current-- I mean, again, like we saw in tomato business, we've seen that -- we've seen a movement towards the lower price product. So, I think for the foreseeable future the large format for dried flower will be the predominant SKU in the marketplace.
Stephen Ruffini: Yeah. If we even look at our numbers like March when we just started to launch it, that small format was greater than 50%. And we were at about 40% on large, that jumped to 60% April, 76% in May, 86% in June. So, in the second quarter, it really went from almost non-existent in the first quarter to 78% as compared, and small being 20%. So, I think that can give you an indication now when we launched new SKUs, it may change. But I think a 70%, 30%, 60%, 40%, 80%, 20% is clearly possible.
Doug Cooper: So, the large value pack priced at -- I think when you break it down 350 a gram for retailer -- for a retail price, price point seemed to be great for the consumer. Would you put that same price point in a smaller package? Is that part of the new SKUs are coming in with?
Michael DeGiglio: Not necessarily. I think we have to be attractive there as well, but maybe not to the extent of the large format.
Stephen Ruffini: Your packaging cost now as handling cost, and then smaller formatting, it's substantially higher than it is on a large format. So, you can't do that in the same value that you can in a large format. That's the beauty of the large format to the consumer, right?
Michael DeGiglio: Yeah. So, when you really look at where we are -- maybe because of the -- a number of reasons, but in June at 86% large format versus small, that really drove the margin down. But still north of 30% which I think it’s pretty incredible. So as we introduced more products and our volume goes up, even if the large format remains a very large percentage with increasing sales, we feel very confident and our gross margins will increase, even if we maintain that low margin -- low aggressive pricing rather on the large format. Doug, going to retail in BC at the black market price of $99 per ounce, that was the focus of the Pure Sunfarms management team. They wanted to go-to-market at the black market price.
Doug Cooper: You touched on that gross margin, you think potentially can move higher as you progress throughout the year and then next year. Steve, can you just talk to us about the accounting for 2.0 products considering, I think you've said in the past that in one sense, trim is garbage -- and from an accounting perspective. So, what would be the -- how does the accounting work on that product line?
Stephen Ruffini: Well, for us -- again, as I said, the cost per gram is a non-industry standard. So, I know you and others are trying to track that metric. And I asked the question, well, does that include trim or not in the denominator of production? We do not -- Pure Sunfarms does not include trim, because ultimately we're in the business of growing flower and using the flower, but trim is used -- utilized in cannabis 2.0 product being vape pens, et cetera. Obviously, the cannabinoid content of trim is the same as it is with a number one flower. So, for Pure Sunfarms, I can't speak to anyone else. So Pure Sunfarms cannabis 2.0 will be helpful in our gross margin, because we value the trim as zero on our accounting books.
Doug Cooper: Okay.
Stephen Ruffini: So, that'll improve the margin of cannabis 2.0. So that input -- the percentage of trim in the cannabis 2.0 product is zero cost.
Michael DeGiglio: Yeah. And also, Doug, I want to add to something. I have some numbers. Just looking at where we're headed in a sort of July is, we had a large format with 80% of the volume in Q2 it's sort of dropped to 60% in July and even down to 45%, 50% initially in August. So, it's going to be interesting to see if a big driver of that was also tied to the pandemic as well. And we'll get some more color on that over the next quarter or two to see how it averages out. So, I think, it's still too early to say specifically what that split will be.
Doug Cooper: Okay. And then just two more quick ones for me. The $12.9 million of net sales in the quarter. How much was that was Ontario?
Stephen Ruffini: We don't -- we -- one, I don't have that information. Two, I wouldn't give it to you if I have it anyway.
Doug Cooper: Okay. And CapEx requirements for the second half, given you pulling back, I guess, some D3 just give an update where you are in D2, obviously that's …
Stephen Ruffini: Yeah. I mean …
Doug Cooper: … what's the CapEx?
Michael DeGiglio: No. There's no real CapEx requirements for the rest of this year. Delta 2 has had most of the investment in there. It may only need a few million dollars to kick it off. And we're starting to look at longer term projections of capacity requirements into the third quarter next year, where we feel we may start turning Delta 2 on as well. But we're going to produce what we can sell and maintain out inventory levels at the level we want. You've seen a lot of companies, I think, just producing, producing, producing can't sell for whatever reason taking write-downs, and we're just going to manage that process. But as far as CapEx goes, we're in good shape.
Doug Cooper: Sorry. My final one -- just -- you just mentioned it as well, just ask the question we've seen that a lot of inventory write-downs at other LPs. Pure Sunfarms inventory stood at US$36 million at the end of the quarter. Any comments or comfort around that inventory level?
Stephen Ruffini: We're comfortable then to a level. Obviously, we kept it for recoverability. So, we've gone through that exercise, so very, very confident with the inventory that we have. This is a consumer goods industry at the end of the day. So, as new SKUs launch, it is -- could impact in the future, down the road on our inventory valuation. And that said, the beauty of cannabis is you can extract. So, if you have a strain that hasn't been as successful -- or is negatively impacted by a new strain that we've launched and the reason large format is down to some extent in July and August, as a percentage of Pure Sunfarms sales because they have launched new strains. That's the beauty of that. And they have taken a strain back in Ontario that didn't perform as well and was negatively impacted by the strong performance of other SKUs. If you can take it back and extract it and use the cannabinoid content in cannabis 2.0. So, getting to Mike's point, managing your production and manage for what you can sell and use and utilize in the near term is the way to avoid inventory write-off, down the road.
Michael DeGiglio: Yeah. And we also feel like comfortable going forward with an inventory level of about 15 to 20 tons. So, because as we rollout new products, we have that. So, just on Steve's point, we're comfortable where we're at, for sure.
Doug Cooper: Okay. Great. Thank you.
Michael DeGiglio: That's why we mentioned in the call, by the way, we did curtail some of our production at the beginning of the summer just to be able to catch up, and that's just managing the process. That has nothing to do with COVID or the pandemic, that's just managing the expectations.
Doug Cooper: Perfect. Thanks, guys.
Operator: Our final question comes from the line of Scott Fortune with ROTH Capital Partners. Your line is open.
Unidentified Analyst: Hey, guys. This is Nick stepping in for Scott. Most of my questions have already been answered. But I just wanted some color on the CBD branding side of things the longer term. Are you guys thinking about building your CBD grant plan -- brand -- sorry -- globally in the U.S. ahead of any sort of FDA movement? You mentioned being on hold here, but any color in terms of brand strategy would be helpful. Thanks.
Michael DeGiglio: Yeah. I mean, it's a --- we just don't want to take any risks there. But we have a program. We're looking at products that are not being scrutinized by the FDA and deciding if we want to develop. We're still sitting on very viable, high quality biomass. So -- and we're looking at other opportunities with other companies. So, I think, I can't say, Scott, at this point, we're going to move forth because we just want to be clear with what the FDA guidelines are going to be. And we felt a little more confident in recent weeks. Hopefully after the election, things get focused on it. And -- so really looking at 2021 to sort of get back on course.
Unidentified Analyst: Great. That's it for me. Thanks guys.
Michael DeGiglio: Thanks, Nick.
Michael DeGiglio: Okay. I just want to thank everybody for joining us today. I hope we provided clarity. I personally am very, very excited about where we stand today and what we've demonstrated. Now I -- we're clear that our foundation for our business model is solid, and we can build upon that going forward and then start to look at other opportunities, both domestically and internationally. So, we're excited. We look forward to reporting the next quarter, and we want to thank everyone for participating today. And look forward to speaking to you again.
Operator: This concludes the Village Farms International's second quarter 2020 financial results call. Thank you for your participation. You may now disconnect.